Operator: Good afternoon. My name is Shantell and I'll be your conference operator today. At this time, I would like to welcome everyone to the Heidrick & Struggles 2019 Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After management's opening remarks, there will be a question-and-answer session. [Operator Instructions]I'll now turn the call over to Julie Creed, Vice President of Investor Relations and Real Estate, to begin your conference.
Julie Creed: Good afternoon, everyone, and thank you for participating in Heidrick & Struggles 2019 second quarter conference call. Joining me on today's call is our President and CEO, Krishnan Rajagopalan and our Chief Financial Officer, Mark Harris. We posted our second quarter slides on the IR homepage of our website at heidrick.com, and we encourage you to review them for additional context, but we won't be referring to specific page numbers during our opening comments.In our materials, we refer to adjusted EBITDA and adjusted EBITDA margin. These are non-GAAP financial measures that we believe provide additional insight into our underlying results. A reconciliation between GAAP and non-GAAP financial measures can be found in the last schedule of our press release and in our supporting slides. Also in our remarks, we will be making forward-looking statements and ask that you to please refer to the Safe Harbor language contained in our news release and on slide two of our presentation.And now Krishnan, I'll turn the call over to you.
Krishnan Rajagopalan: Julie, thank you. Good afternoon everyone and thank you for joining our call. We are pleased to report our second quarter and first half of the year results. As evidenced by the numbers, we are still seeing solid demand at the top and we're hitting on all cylinders to win more market share. There are a few markets experiencing economic uncertainty and slowdown, but other markets are outperforming.So, the mix of our revenue is different, but when we look at the results overall for the first six months, we're slightly ahead of where we were last year at this time. Given 2018 was a record revenue year we consider our 2019 performance to date to be positive. Importantly, with all the changes that we've made to our operating model over the last two years, we're running the business more efficiently. We are delivering improving profitability and higher net income and EPS to the shareholders.Let me share a few highlights. Consolidated net revenue of $173.1 million in the second quarter increased 1% compared to the first quarter and was down 5% year over year or 4% in constant currency. About as we expected, given that last year's second quarter included an unusually high number of search revenue upticks. Even so, the operating margin expanded to 10.6% compared to 10.1% in last year's second quarter. Net income increased 25% to $14.3 million and diluted earnings per share improved 24% to $0.73 per share from $0.59 per share in last year's second quarter. It's also worth noting that our year-to-date consultant turnover globally is quite possibly the lowest in our history at 5%, allowing us to maintain high search consultant productivity at $1.7 million per consultant. Remember that in January we promoted one of our largest classes to date, 24 individuals to the principal level.Our data-driven and technology enabled talent, leadership and culture solutions are increasingly being embraced by our employees and are becoming fully embedded across our business. This approach is continuing to resonate more strongly with our clients. Some examples, we have now executed over 7000 searches through our tech-enabled process that we refer to as the Heidrick way. As part of this process, we are leveraging our proprietary Infinity Framework Assessment methodology to gather consistent data.Since introducing our clients to the book Goliath's Revenge and our digital acceleration offerings earlier this year, more than 10 of our clients have signed up to work with us on their digital transformation and innovation initiatives by focusing on their culture and human capital. Last year, approximately 10% of our consulting revenue was driven through search introductions, and in the first half of this year that has climbed to approximately 20%. We are continuing to expand our work at the top, not only by placing CEO candidates with our clients, but also by working with those CEOs to accelerate their performance starting from day one. We have several such landmark projects underway.Last year we launched Heidrick Consulting and began going to clients with a single integrated line of advisory services. We've made progress, but this business isn't yet where we want it to be. Last year, we focused on the consulting integration and overall margin improvements. This year, our attention is fully focused on growing the consulting business. Our growth will be driven by an increasing collaboration within the firm to bring the full power of Heidrick service offerings to our clients globally. And equally important, by increasing the depth and breadth of our advisory services and human capital solutions through strategic hiring, external partnerships and acquisitions. We still have a long ways to go, and we must accelerate on this dimension.As I said earlier, where we are focused in search at the top of organizations, we continue to see favorable market demand. June confirmations were very good and July is tracking well too. In aggregate, we aren't seeing a slowdown, but we aren't seeing an acceleration either. In this type of a market, it's all about operating efficiently and winning market share. And we believe we're winning more than our fair share of the search business, with our global delivery of a premium diversified portfolio of advisory solution that empower Boards of Directors and senior executives to leverage top talent and transform their organizations.To grow our business and achieve our vision, we continue to focus on several initiatives, broadening our capabilities, service offerings to clients, going to market as one firm with an integrated value proposition, a distinctive suite of capabilities that maximize leader, team and organizational performance, and delivering superior leadership solutions to a unique differentiated client experience. Thank you again to our teams around the world for their hard work and a solid start to the year.Now let me turn the call over to Mark to elaborate on the quarter.
Mark Harris: Thank you, Krishnan. Good afternoon, everyone, and thank you for joining our call today. As Krishnan mentioned, our consolidated second quarter net revenue of $173.1 million, was down compared to last year's second quarter, but not unexpected given the unusual number of search upticks last year. Our net revenue, excluding upticks in both quarters would have been similar on a pro forma basis to give that some context.Executive Search revenue was about even with the first quarter of 2019, but declined about 5% year-over-year due to last year's high uptick revenue. Reflecting on our year-to-date performance, given the quarter-to-quarter variability we can see in our markets, search revenue is still ahead of the same period in 2018. In the second quarter, on a constant currency basis, the Americas declined 2% and Europe just 1%. However, Asia Pacific declined 9.4% with several factors at play, including consultant turnover, consultant mix and generally tough comps compared to last year.Heidrick Consulting revenue increased 10% sequentially, although declined 10% year-over-year on a constant currency basis. For the first six months of the year, consulting revenue was off 7.4% on a constant currency basis compared to 2018. Factors that contributed to the year-over-year results included productivity being lower because consultants, who left after the integration last year were replaced by new consultants, who aren't yet fully up to speed.Revenue we had planned from several client engagements was pushed into the third and fourth quarters. However, we continue to see positive trends in the business, as Krishnan mentioned, more revenue is being driven by the search consultants. We are especially excited about several high profile assignments that were won in conjunction with search. Heidrick Consulting is proposing on larger and more complex, multi-layered projects, which are highly strategic and impactful for our clients, but also take longer to close and deliver. We believe this strategy will be accretive for Heidrick in the long term.Turning to salaries and benefits; this was lower by $7.1 million, or 6% compared to last year's second quarter. We saw an increase in fixed compensation of $3 million with much of this driven by higher stock compensation expense and other benefit expenses such as retirement and deferred compensation expense. This increase in fixed compensation was offset by a $10 million decline in variable compensation expense, mostly related to lower revenue in the quarter.For the seventh consecutive quarter, general and administrative expenses were down year-over-year to $34.2 million, a decrease of 7.5% or approximately $2.8 million compared to last year's second quarter. There were savings in a number of areas, but the biggest improvement was in the continued focus reducing professional services. All of these improvements led to operating income in the second quarter of $18.4 million, essentially flat with the prior year despite lower revenue. Through active management of our operating expenses, our operating margin expanded to 10.6% from 10.1% in the last year's second quarter, and on a trailing 12 month basis, our operating margin is at 10% for the first time since the third quarter of 2008 or 11 years ago.Finally, we're very pleased to report our achievement in net income of $14.3 million in the second quarter of 2019, an increase of 24.6%. This drove our diluted earnings per share to $0.73 compared to $0.59 last year, while much of the increase was driven by our operating performance, our tax team has done a very good job in managing our tax structure in order to help us achieve an effective tax rate of 26.7% in the second quarter. For the full year 2019, we are still expecting an effective tax rate in the low 30% range.Now I'll turn to our balance sheet. At the end of our second quarter, our cash and marketable securities increased to $144 million compared to $85.8 million at the end of last year's second quarter. Cash provided by operating activities was $33.4 million compared to $30.4 million in last year's second quarter, an increase of 10%.Turning to the third quarter of 2019, we expect that net revenue will be in the range of $175 million to $185 million compared to the quarterly record revenue of $187.6 million achieved in last year's third quarter. June confirmations were very good and July is tracking well too. Our guidance is further based on search backlog at the end of the second quarter, which increased from the first quarter, the typical seasonality of search confirmation trends in the third quarter, our expectations for Heidrick Consulting assignments, anticipated fees, the number of consultants and their productivity and the anticipated economic climate.In summary, we are pleased with our second quarter performance, especially our management of the business that delivered tangible improvements to the bottom line. We are on a similar track to 2018, a record year with an even better bottom line and we look forward to finding new opportunities to build our brand further.With that, we'd be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Kevin McVeigh with Credit Suisse. Your line is open. Kevin McVeigh, your line is open. Your next question comes from the line of Tobey Sommer with SunTrust. Your line is open.
Tobey Sommer: Thanks. I was wondering if you could comment about what you're seeing across the verticals within the executive search space in which they're strengthened and maybe conversely, also touch on the one or two that have been softer than the rest. Thank you.
Krishnan Rajagopalan: Yes. Tobey, it's Krishnan here. Vertical you meant our industry verticals, is that what you meant?
Tobey Sommer: Correct.
Krishnan Rajagopalan: Yes. So, look, we -- we're generally seeing a robust market for healthcare, life sciences, for technology related work, for our industrial practice and marginally for our consumer practice as well. I think really the only large practice, where we have seen some headwinds is our financial services practice, which is a large practice for us and in particularly Europe, we've seen a little bit more headwinds here in Europe and even in the US.
Tobey Sommer: In your prepared remarks, you kind of delineated between the high end of the house in the search in industry, where you have more concentration thing, noting that, that demand has been stable. By implication are you saying that, below that is somehow different in so much as your kind of breadth gives you exposure, you know, below the C suite. What are you seeing in that area?
Krishnan Rajagopalan: Yes, I mean, I think my comment was intended really to focus on Heidrick and where we play. We tend to play at the top end and we tracked by the way, our CEO onboard searches et cetera and we are seeing a robust market in that area. Our sense is that it's it might be a bit more robust than below in the next level down, but we're not sure. So, we don't play in that market as much. So, I don't have the data to back that up. But I can tell you where we're playing our confirmations seem to be pretty reasonably robust. I mean it does vary by market, but and it's different than last year, as I mentioned. But I think it's still strong.
Tobey Sommer: What are your intentions - in the headcount growth, mid-single digits year-over-year, not much changed sequentially. What's your intention for the balance of the year to manage the headcount growth in the context of your comments…?
Krishnan Rajagopalan: Sure, yes. So, we'll expect to see in search some very strategic and marginal headcount growth. We promoted 20 plus people in January and we are -- and you'll see it show up in the third quarter some hiring we've done in Asia and strategic markets for us, where we're down a bit. So, it's not -- it's going to be you're seeing sort of in the single digits okay that we'll be doing hiring like that. In Heidrick Consulting, we expect to do more hiring and we're trying to grow that business and it's a competitive business and we again another business, where we work on the top, so the talent is quite competitive over there as well. But we expect to grow that business and headcount and you'll see that in the third quarter as well.
Tobey Sommer: Last question for me and I'll get back in the queue. Could you give a -- elaborate a little bit more about the trends in Asia-Pac and connect if you could, or say there is no connection between the trade dispute in China and that kind of thing? Thanks.
Krishnan Rajagopalan: Sure. Yes, the trends that we're seeing in Asia is that there are clearly some headwinds in China, greater China that we've seen. So, I think it is impacting that market a little bit. In Asia, our Japan business is still strong, it's coming off a historic high. So, that's a little bit down. India is doing very well for us. Singapore is doing quite well for us as well. So, those are markets that are taking advantage of, I guess, of all of this trade imbalance. But I would say China is an area, where there are some issues too.
Tobey Sommer: Thank you very much. I'll get back in the queue.
Operator: Your next question comes from Tim McHugh with William Blair. Your line is open.
Tim McHugh: Hi, just wonder if the -- I wanted to ask, if you could elaborate a little on the consulting business. I know you've talked about seeing some progress, but it's taking a little longer I guess maybe more specifically, are there certain types of projects you're doing well with and certain specialties where you're lagging and haven't found the right team? I guess just any more color on the strategy there.
Krishnan Rajagopalan: Sure. Yes, Tim. Thank you. So, look in Heidrick Consulting, we're doing a lot of things here. So, we are continuing to hire, as I said, so and that'll show up here. As I said, we work at the top, it's highly competitive to get those individuals on board. You will see some new hires on board in the third quarter. Our strategy was very much driven by trying to increase the collaboration with search. I feel very good about that, as I mentioned, we were about 10% last year in the revenues that were being driven for consulting through the search and we're up over 20% right now. So, that's good as well. The backlog has increased for consulting as well. So, that's a -- that's another positive that we see. We are focused on, as Mark mentioned, more complex, strategic projects, we consider those to be high impact and very sticky with clients. Examples would include our culture shaping and what we're doing there, example would be around helping companies with their digital transformation through our digital acceleration offering.And then more and more, we're helping onboard CEOs and helping with the CEO acceleration offering. And all of these are reasonably complex. The CEO has to get their agenda set before we get engaged, so that causes a little bit of delays in all of this, but nonetheless a very, very strategic work. And we do see trends in there and positive trends in there that we hope to amplify on for the remainder of the year.
Tim McHugh: Okay, great. And then just one follow-up, you talked about the retention being the strongest it's ever been. But you also mentioned kind of I guess obviously what's natural tight labor market and then bonus accruals being down year-over-year, which matches kind of the revenue trend. But in a tight labor market, what's the risk and as we think forward to the rest of the year and I guess in the future, can you continue to use that as a lever? Or is there some risk in the labor market like this in managing that expense line?
Krishnan Rajagopalan: Yes, look I think there's a -- look, there's always some risk, but I think it's about more than that and what we're building here; okay? So, I think it comes down to, you know, our firm's purpose and our culture of this -- of the organization that we've got. We're coming off of a fantastic regional global conference, where we've brought the teams together to collaborate and it's all around what we're building and how we're trying to impact clients in that context. And I think there is a lot of energy that surrounds that.
Mark Harris: The only thing that I would add to that is the actual bonus accrual and of itself is still actually higher than it was the same point in 2018. Remember, our year-to-date revenue is still up 5.7%. So, don't misunderstand my comment is being that we've lowered the actual overall accrual, when we look at on a comparative basis.
Tim McHugh: Okay. And then last, you mentioned the global conferences that in the second quarter, or is that a third quarter expense item as we think of…?
Krishnan Rajagopalan: That was in the second…
Mark Harris: That was on in a second quarter, it's all been expensed.
Tim McHugh: Thank you.
Operator: [Operator Instructions] Your next question comes from Kevin Steinke with Barrington Research. Your line is open.
Kevin Steinke: Hi, good afternoon. So, just following up on the discussion about the global conference, obviously it looks like you continue to control G&A costs pretty well. I mean, was there meaningful expense in the quarter from their conference that you could call out just so we can kind of get an idea maybe what the run rate on G&A might be over the next couple of quarters?
Mark Harris: Sure, let me try to help you out. So, again we talked about on last call that we had regional meetings last year, the regional meetings were comparatively to the global meeting. It was about 500,000 more in Q2 than you saw last quarter on a comparative basis. So, the come would be Q3 is probably relatively consistent, obviously a little bit less than the G&A side because of some initiatives that we've done over here. But it's pretty minor difference between the two. So, on a comparative basis, it's pretty comparable.
Kevin Steinke: Okay. And then, you started off by talking about some geographic markets overperforming some underperforming. I mean, you touched on China, maybe some weakness in Europe around financial services. I mean, some of the markets in Asia doing better, but any others we should highlight is maybe a little softer or a little stronger than you've expected?
Mark Harris: Well, I think expected or comparative. I only use comparative, most of everything we've seen was expected as we were expecting the UK on a comparative basis given Brexit and what's been going on in the elections, et cetera. Financial services clearly it helps lead that pack given the demographics of those compared to the other industries in the UK. So, we've obviously seeing softening there. Germany base level of the macroeconomic data that's been released, obviously, we've seen some softening in Germany. Italy, hardly enough, even though the economic data suggests there should be a softening, we've been very good and very strong. And that was probably the surprise, but a pleasant one.Spain's doing very good. Denmark's doing pretty well. France, so I would just tell you that those are the ones it's been interesting because obviously when you're replacing, UK and German confirmations with other Continental Europe confirmations, by definition, the demographic of those confirmations are going to be economically different. And we've seen that, and hence, while even though we're on a constant currency basis down 1% in Europe, we're still very pleased with that result, just given the natural shift that we see going on there and what we've been doing to diversify ourselves within Europe.
Krishnan Rajagopalan: And we've been happy to see that, you know, look we were running very, very fast last year. And it continues with that speed in the US, if not even a little bit faster sometimes, we shouldn't forget that.
Kevin Steinke: And you mentioned that you're not really seeing a slowdown, but you're not seeing an acceleration either. Just trying to reconcile with the confirmation percentage decline you had in the press release down 8.5% year-over-year in the second quarter. You said June was good, I mean. Just, you know, would you attribute that year-over-year decline is somewhat of a difficult comp. I know last year was really strong, up 23% year-over-year. So, just trying to reconcile, when you're saying not necessarily a slowdown, but we've seen some confirmation softness at least on a year-over-year basis?
Krishnan Rajagopalan: Yes, I mean, again, think about it from a mix point of view, you might see the confirmation numbers actually tracking down a bit. The fees per search are up. So again, when you look at that probably see kind of in the revenue on a six month basis, we're about I think 0.5% ahead is really what's kind of offsetting them. So, you know, we kind of keep an eye on that. But overall, I mean, again, when you're kind of trading off with going on in Greater China and the UK et cetera, with continental, other emerging markets and Asia Pacific and obviously, Americas performing very, very well for us. We're pretty happy in terms of what we're seeing on those sides counterbalancing each other.
Kevin Steinke: And lastly, I think you said you've executed 7000 searches through the technology-enabled Heidrick Way. What percentage of your searches are now running through that technology solution and I mean, would be the goal to get most or all running through that technology?
Krishnan Rajagopalan: Yes. Look, the goal will be at some point 100%. There's some languages that require being in, some searches require local languages. So, we're well over 90%, actually it had over 90%. So, it's -- we're headed in the right direction there.
Kevin Steinke: Okay. Thanks for taking the questions.
Krishnan Rajagopalan: Thank you.
Operator: Your next question comes from the line of Kevin McVeigh with Credit Suisse. Your line is open.
Kevin McVeigh: Great, thank you. Mark or Krishnan, I wonder if you could give us a sense from plan perspective, it's good to see the higher just any sense of, you know, some of the areas, where you've seen a little trade related impact? Are you doing any kind of planning for maybe more of a slowdown as opposed to a head stake. I know there's been some debate in the market as to the sustainability, but just any thoughts around that? Or do you use this uncertainty to hire incremental, or just any thoughts on M&A as well?
Krishnan Rajagopalan: Yes, let me start with your hiring question there. I mean, I don't think we're seeing any market with a sort of like a falling off of a cliff type of a slowdown. So, we're adjusting our plans, I mean, I think that in those areas, we may go a little bit slower with our hiring. Okay? And yes, maybe a bit more elongated. But I don't see anything like that that's changing how we're thinking about it. We started off the year thinking that we would promote many and we would hire a few in search. And we're executing that plan. So, I think that, that's what we're seeing, and it isn't, as Mark said, too surprising from some of what we had forecasted in our plan. So, then on the strategic acquisition side, I mean, clearly our focus of that, one of the focus areas is the consulting area. And, we continue to look at assets in that area in a very thoughtful manner. Yes.
Mark Harris: I mean the only thing I'll supplement that with is, when we look at our pipeline on the corporate development side, we were very disciplined in ensuring that the companies we look at quite seriously have kind of a preidentified need before we kind of take a look at the company; so not just finding something and putting it on, but it actually is something that's part of our long term strategy. When that IRRs make sense, both cash and P&L IRRs, we get the valuations to where we think it's going to be accretive to the shareholders only then what we consider putting a structure in place to actually do the acquisition. So, I think it's important to always remember that even though you may not seeing it right now, we're seeing a lot of deals. We just haven't seen the ones that we think are appropriate to create a fit for us right yet.
Kevin McVeigh: Okay, thank you.
Krishnan Rajagopalan: Sure.
Operator: Your next question comes from the line of Toby Sommer with SunTrust. Your line is open.
Tobey Sommer: Thanks. I just have a numbers question. Mark, could you discuss the tax rate in the quarter any discrete items that kind of won't recur and were just beneficial in the quarter? And then what's a good tax rate for the rest of the year or the full year some sort of long term benchmark that we can use for modeling?
Mark Harris: Yes, so I mean, Tobey on outline, that's why I try to give kind of the idea of around 30% as where we're going to kind of come in at the end of the year at low 30s. What we saw in the second quarter was a couple things, number one, are some discrete items pertaining to some capital gains that we were planning for and then measured out. The other comment is, we change some of our corporate tax structure, where we felt it was more prudent to either check the box or some other tax that we looked at from an analytics point of view and brought them under the tent. So, our longer term view is that we should be able to maintain low 30s without policy changes in the different demographics that we kind of plan. And we hope to obviously continue and very focused on that. That's why to less taxes cash, which is why we're hyperfocused on it.
Tobey Sommer: Perfect. And do you have an estimate for what CapEx will be in 2019?
Mark Harris: It's a great question. Really…
Julie Creed: I think at the real estate it will be pretty low for this year.
Mark Harris: Yes. We don't have a lot of CapEx initiatives this year. We've got some leases that will be coming up next year, that will probably have some build outs for. But again, I don't think we've done any quantifiable analysis on that yet in terms of what we think the spend will be.
Tobey Sommer: Okay, thank you.
Operator: There are no further questions at this time, I'd now turn the call back over to Heidrick Management for any -- to make any closing remarks.
Krishnan Rajagopalan: Okay, thank you. And thank you to -- let me start off by saying thank you to our Heidrick team. Great job. We are seeing and we hear a lot from in the market and from clients about trade wars, slowdowns, and much of that is true. And, you know, we take it seriously and we take it head on as well. Through the first half of the year, you know, we are executing well. The themes what Heidrick & Struggles is focused on are highly relevant in this market. We're on track to our record performance in 2018. We're ahead on profitability and we look forward to performing the rest of the year. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.